Operator: Greetings, and welcome to Electrovaya's Fiscal Year 2019 Financial Results Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Mr. Richard Halka, Executive Vice-President and Chief Financial Officer for Electrovaya. Thank you, you may begin.
Richard Halka: Thank you, Melissa. Good morning, everyone, and thank you for joining us on today's conference call to discuss Electrovaya's fiscal 2019 financial results. Today's call is being hosted by Dr. Sankar Das Gupta, CEO of Electrovaya, and myself, Richard Halka, Executive Vice President and CFO. On December 23rd, Electrovaya issued a press release concerning its business highlights and financial results for the three and 12-month periods ending September 30, 2019. If you would like a copy of the release, you can access it on our website. If you want to review our financial statements, management discussion and analysis, you can access those documents on the SEDAR website at www.sedar.com. As with previous calls, our comments today are subject to normal provisions related to forward-looking information. We will provide information relating to our current views regarding trends in our markets, including their size and potential for growth and our competitive position in our target markets. Although we believe that the expectations reflected in such forward-looking statements are reasonable, such statements involve risks and uncertainties, and actual results may differ materially from those expressed or implied in such statements. Additional information about factors that could cause actual results to differ materially from expectations and about material factors or assumptions applied in making forward-looking statements may be found in the company's press release announcing the fiscal 2019 results and the most recent annual information form and management's discussion and analysis under risk and uncertainties, as well as in other public disclosure documents filed with Canadian securities regulatory authorities. Also, please note that all numbers discussed on this call are in U.S. dollars unless otherwise stated. And now, I'd like to turn the call over to Sankar. Sankar?
Sankar Das Gupta: Thank you, Richard. And good morning everyone. We are pleased that you joined us this morning, and I hope you all had a wonderful holiday season. Electrovaya’s business had strong momentum during fiscal 2019. Our order volume expanded over the course of the year as we experienced rising demand from both new and existing customers. Most significantly, we received repeat orders from Walmart Canada worth C$7.3 million. Walmart is replacing all the forklift factories at two of its distribution centers with Electrovaya’s lithium ion batteries. These will be the second and third Walmart distribution centers to be fully powered by Electrovaya’s batteries. We have also been working on a fourth distribution center of this. We ended the fiscal year with the order backlog of more than US$9 million with about C$12 million Canadian and that number has subsequently increased. On December 30th, we announced additional forklift battery orders worth approximately $4 million, which is slightly more than C$5 million from a large U.S. Company from for their distribution site in the U.S. This purchase order came from our OEM distribution channel and brings our total backlog to about $13 million or over C$17 million. We are now well positioned for near-term growth in revenue and profitability. Deliveries to Walmart Canada specifically should be completed by the end of the fiscal second quarter ending 30th March 2020. We expect positive EBITDA for that quarter, ofcourse barring unforeseen circumstances. For the first half of fiscal 2019 -- for the first half of fiscal 2020, we are anticipating revenue of approximately $6 million, which is nearly C$8 million compared to $3.2 million or C$4.3 million in the same period last year. As we noted few days ago on 30th December, we expect to complete deliveries on approximately $10.8 million or over C$14 million of orders in the first nine months of the fiscal year for the period ending June 30th 2020, and to be EBITDA positive barring unforeseen circumstances a good growth trajectory starting. It is exciting to see that blue-chip Fortune 500 customers are increasingly eager to partner with us. They understand the benefits of our lithium ion battery systems and how they can enhance safety and productivity in mission critical applications for materials handling electric vehicles and automated guided vehicles. We now have 28 locations operating with our batteries, 24 of these sites are in the U.S. two in Canada, one in Mexico, and one in the Americas. For the automated guided vehicles there are several hundred units all across the Eastern USA powered by Electrovaya. We are seeing solid demand through both of our key sales channels, direct sales and OEM distribution. During fiscal 2019, we signed a sales agreement with the Raymond Corporation, a leading forklift manufacturer enabling our batteries to be sold through Raymond's distribution network. The Raymond brand has its largest electric forklift market share in North America. While customer demand is increasing, we are also aggressively reducing costs. Our overhead declined significantly. Our total operating expenses were $8.9 million in fiscal 2019 compared to $11.6 million in fiscal 2018. Since the fiscal year end, we have continued to aggressively cut costs and it remains a key priority for us moving forward. In order to fulfill our growing volume of orders, we have secured a credit facility worth about C$7 million which provides liquidity for the fulfillment of our purchase orders. We are very excited about the future. We have leading technology going into a large electric vehicle market which is emerging fast. This market is driven by mission critical applications in e-commerce, warehousing, logistics and manufacturing. The addressable market is large and we are pleased that Fortune 500, and indeed Fortune 100 companies are increasingly using Electrovaya’s lithium ion batteries. We have a low cost operating model and a very strong team. We are pleased with our recent purchase order momentum and are optimistic that it will continue through fiscal 2020 and beyond. I will now turn the call over to Richard to review our fiscal 2019 results in greater detail. Richard?
Richard Halka: Thank you, Sankar. Revenue from continued operations for the 12 months ended September 30th 2019 was $4.9 million compared to $5.6 million in fiscal 2018. The decline was primarily due to higher revenue in Q2, 2018 as compared to Q2, 2019 as a major order was completed for a Canadian customer. Gross profit for the fiscal 2019 increased to $1.9 million or 40% of revenue, from $1.8 million or 31% of revenue last year. This increase reflects a significant reduction in direct manufacturing costs as we continue to improve our supply chain efficiency. Net loss from continued operations was $2.8 million in fiscal 2019 compared to a net loss of $10.2 million in the prior year. The reduced net loss is primarily attributable to lower operating expenses and a onetime gain of C$4.2 million on from our sorry U.S$4.2 million from the sale of our former head office building in Mississauga, Ontario. Our total operating expenses as Sankar pointed out were $8.9 million in fiscal 2019 compared to $11.6 million in fiscal 2018. As Sankar noted, we have provided some financial guidance for fiscal 2020 that reflects our strong order volume. We are anticipating revenue of approximately $6 million in the first half of fiscal year as we complete deliveries on recent orders. We expect to generate positive EBITDA in the second quarter and we plan to complete deliveries on orders amounting to $10.8 million in the first nine months of the fiscal year. So overall we anticipate significantly stronger financial performance in fiscal 2020 compared to fiscal 2019. Turning to our balance sheet. We had 0.3 million of cash and equivalents at September 30, 2019 compared to 0.1 as at September 30, 2019. We used a total of $2.9 million of cash in operating activities during 2019 compared to $7 million in 2018. We continue to manage our working capital carefully. Subsequent to fiscal 2019, we announced the closing of a secured 5.5 million credit facility agreement with the Canadian financial institutions, which increased our overall credit facility limit to C$7 million. This facility supports the fulfillment of our recently announced purchased orders. Inventory was $1 million as at September 30, 2019 compared to $1.8 as at September 30, 2018. The decreased inventory is due to continued fulfillment of purchase orders. Overall, we continue to expand sales, carefully manage our costs. We're also establishing the relationships needed to access essential financial resources to grow our business. I'd like now to turn the call back to Sankar to wrap up.
Sankar Das Gupta: Thank you, Richard. We are more convinced than ever that we have the right products for the right market and at the right time. The Material Handling electric vehicle market continues to grow at a very rapid pace and convert to lithium ion batteries. According to the recent statistics we have seen, that U.S. alone is purchasing at least 150,000 new electric forklifts a year in addition to approximately 1.5 million electric forklifts currently in operation. The opportunities to install our lithium ion batteries in New forklift builds and as replacement batteries in existing vehicles is enormous and growing every day. The North American market is about 25% of the global market and we only need to capture a small portion of this demand to drive very strong revenue growth at Electrovaya. Over the last few years, we have been carefully positioning ourselves to build market share in the materials handling electric vehicle market primarily in electric forklifts. We have developed more than 25 different lithium ion ceramic factory models to date for this market, and are currently marketing 24 volts, 36 volt, 48 volts, and 80 volt batteries. New and existing customers have tested them extensively and they are understanding that our products offer superior cycle life and safety along with excellent energy, power and fast charging capabilities. We are at the cusp of the energy transformation in the electric materials handling vehicle market. Every 1000 lithium ion powered electric forklifts as it replaces those powered by diesel eliminates 8 million tons of carbon dioxide gases as well as 4 million tons of carbon monoxide. Also because these electric vehicles operate 10 times more intensely than electric cars, we eliminate 10 times more greenhouse gases per vehicle. Over lead acid or hydrogen powered forklifts that increase value Electrovaya gives to the intensive user is quite phenomenal. This is a mission-critical industry and our sophisticated Fortune 500 customer base understands the operational value we give. Our recent growth in order volume which I discussed earlier is proved that we are gaining momentum and are positioned for strong improvement in revenue and profitability. In addition to the materials handling electric vehicle and the automated guided vehicle market, we are also pursuing early stage opportunities to provide batteries for market such as electric buses, electric robot and energy storage. In fact, we received our first electric bus battery order during fiscal 2019. These markets are promising, but we believe it will take time for them to fully emerge. Electric forklifts remain our primary focus in the near term. While we have significantly reduced our costs and employee headcount in the last two years, we continue to strengthen our technology and our intellectual property. We currently have more than 100 registered patents and we continue our research at how we can enhance our product and further customize them to meet the needs of our customers. Finally, I want to note that we have moved into a new Head Office at 6688 Kitimat Road in Mississauga. The move was last month. This is an important development because the office and manufacturing space has been customized to support significantly higher rates of battery production, allowing us to scale up our operations to meet stronger customer demand on our more efficient basis. The move also places us closer to the offices of some of our key customers and to distribution centers where our batteries are currently in use. Overall, I think you can see why we are so excited about our future. The addressable market for our batteries is enormous. Customer demand is increasing and we are well-positioned for growth after undergoing significant restructuring in the last couple of years. We are expecting strong financial performance in fiscal 2020 and we hope it will be a much stronger year for our shareholders as well. This concludes our remarks this morning. Richard and I would now be pleased to hold a question and answer session. Melissa, please open the lines to questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Ashok Kumar with ThinkEquity. Please proceed with your question.
Ashok Kumar: Hi. Good morning. Thank you Melissa and congratulations Sankar and Richard. Just following up on your comprehensive comments. Sankar, could you just flesh out as necessary, on the recent macro trends you'd indicated in terms of the lithium ion battery pack adoption among your primary markets; one is the MHEV and AGV and adjacent opportunity. And then three companies questions, one is on operational, as you said, you've made significant improvements in operational efficient and in combination with the topline recovery has accelerated your time line of profitability. So if you just flesh out any additional points there? And in terms of battery cell technology, I think you'd highlighted the roadmap on the E44 cell as it applies to cycle time safety and cell density with the sustainable competitive advantages. And then the last question is in terms of your channel given the outside footprint relative to your business cycle maturity in terms of penetrating, one, the OEM channel and two, the distribution channel, like, how it positions you in terms of going faster than end market? Thank you very much.
Sankar Das Gupta: Yes. Thanks Ashok. They are really good questions. So the first question is why is Electrovaya doing well in penetrating this forklift market and with its lithium ion batteries. And really the answer is in two words. We are the forklifts battery -- the forklifts typically an intensive user is driving something like 200,000 to 300,000 kilometers equivalent every year. So that's like 2 to 3 million kilometers driving over an eight, 10-year period. And there was very difficulty for lithium ion batteries to meet that requirement. In addition, it had to meet all kinds of weight and energy density and power requirement. So when we came into the market, it was essentially and still is essentially lead acid batteries and also some hydrogen-fuel cells running there and people were not sure that the lithium ion batteries could make it in this field. And after I would say, testing over a year or two, people are getting very, very confident that it’s working so well. And we are working with really the Fortune 100 companies, Fortune 500 companies who are very sophisticated, who understands the whole global market, test everything on site and we're really pleased that they are driving our technology. So now, we have about 28 locations, which our batteries are powering. Some of these locations are complete distribution centers like Walmart which has moved to Electrovaya. Some are what I would call in a replacement basis. They are replacing their lead acid batteries with the Electrovaya lithium ion battery. So that's a really the driver. And we now have so intensive usage in pretty much all sectors that I can think of; warehousing, logistics, ecommerce, multishift to manufacturing, cold warehouses that we are not finding any place where the battery is not being usable. The second point, Ashok, was the operating efficiency. We have been trimming our operating costs lot. You can see that our overhead cost is coming down. We have kept our research team and we are actually adding to it. But we have reduced our other costs and our move -- our manufacturing move also is making a much more efficient in this new location than we were in our old location. So operating efficiency is going up.
Richard Halka: Ashok, there's probably just one thing I would add to that as well. When you have the leverage of the significant PO with suppliers, we're able to negotiate some fairly good terms and prices in terms of the volume and what we're looking at in terms of volume orders coming up. So, we see this momentum continuing into the future. As our volume increases we would expect our cost structure to probably reduce a little bit or on the other hand if we have to make any concessions on pricing that its offset by efficiencies in the costs. Sorry, Sankar.
Sankar Das Gupta: Ashok, your third area where we're looking at is the battery technology roadmap and what we have done is made of a significant breakthrough in the cycle life of a battery and that has been done through the inside chemistry of the cell. And so we are getting the cycle life which these forklift batteries need and which we believe all intensive battery users will need. This will be electric buses, electric truck, electric taxis and electric energy storage for both wind and solar which are looking for 15-year plus employments. So that is working well. We are working both internally and externally with a number of people and that's always been our style that we should be at the forefront, because we believe that technology is /still growing and we can keep on increasing energy density and power. The big driver also is safety. We have -- giving industry-leading safety in our batteries. And as people started increasing the energy density the safety of a battery becomes a big, big concern. So here again, we are very pleased that the major Fortune 500 companies who been testing our batteries for so long feels comfortable to move from their utilization into the Electrovaya battery. And the last point was a channel of sales. And we are -- both the channels are working very well. We have our own sales team, which is going into the replacement channels and the replacement channels we went after largest company in that business. And we're really very glad that they are moving from warehouse to warehouse and we are probably got the largest lithium ion batteries fleet in one location in North America now. And we are really pleased on our other channel partner which is the OEM partners and Raymond has the largest brand and largest market share in this business and we are really pleased that they have started driving our sales through their distribution network.
Ashok Kumar: Sankar and Richard congratulations on your operational milestones, and all the best.
Sankar Das Gupta: Thank you, Ashok.
Richard Halka: Thanks, Ashok.
Operator: Thank you. Ladies and gentlemen, this concludes our question and answer session. I'll turn the floor back to Dr. Das Gupta for any final comment.
Sankar Das Gupta: Well, thank you all for listening this morning. We look forward to speaking with you again later this winter or early spring after we report our fiscal first quarter results. And wishing all a very happy New Year. Thanks.
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.